Operator: Good morning, my name is Jackie and I will be your conference operator today. At this time, I would like to welcome everyone to the Diamond Offshore Drilling Inc. Third Quarter 2007 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer period. [Operator Instructions]. Thank you. It is now my pleasure to turn the floor over to your host, Les Van Dyke, Director of Investor Relations. sir, you may begin your conference.
Les Van Dyke - Director of Investor Relations: Good morning and thank you for joining us. With me on the call today are Larry Dickerson, President and Chief Operating Officer; Gary Krenek, Senior Vice President and Chief Financial Officer and John Gabriel, Senior Vice President - Contracts and Marketing. Before Larry begin his remarks, should remind you that statements made during this conference call might constitute forward-looking statements and are inherently subject to a variety of risks and uncertainties that could cause actual results to differ materially from those projected. Forward-looking statements include but are not limited to discussions about future revenues and earnings, capital expenditures, industry conditions and competition, phase the drilling rigs will enter service as well as management's plans and objectives for the future. A discussion of the risk factors that could impact these areas and the companies overall and financial performance can be found in the company's reports, filed with the Securities and Exchange Commission. Given these concerns, investors and analysts should not place undue reliance on forward-looking statements. The company expressly disclaims any obligation to release publicly any updates to any forward-looking statements to reflect any changes in the company's expectation or any changes in any events, conditions or circumstances on which any forward-looking statements is based. With that, I will turn the meeting to Larry.
Lawrence R. Dickerson - President and Chief Operating Officer: Thank you Les. I would like to welcome everybody here to our third quarter conference call. I am going to make a brief opening remarks. As you have noted in our press release that we have any the recent large scale contracts we typically we will highlight those in our press release. In fact, we did not in this quarter indicates that we did have any data points to share with you. However, I assure that our activity is very strong. That we have lots of interest, that we are in discussions with a number of customers both domestic and internationally for both renewals on certain rigs. We have some rigs available in 2008 and we are in discussions on renewing or placing those rigs with new customers. Additionally, we have several customers expressing request on follow-up contracts, with those contracts may not start for as late as a year today. In other words, contracting on a rig is already contracted out through the year. So all of that remains very strong. I can't tell when some of those will come together but based on the level of activity, it should be some of those to include in rig status report, if not the next cycle but the cycle after that perhaps. International jack-up bidding opportunities also are present in front us and we continue to see opportunities there. A weak area of course and its no surprise to anyone as the domestic jack-up of market. We have 7 rigs that on a go forward basis we will be operating in that basin that's down from 2004 when we had 13. So we continue on a strategy of moving rigs out that market. I think that's something that many really jack-up players in the Gulf of Mexico have done clearly, because you've seen the supply shrink, yet demand remain anemic outside in that bigger market. As we said today we have in the Ocean Spartan that's been down right at three weeks. It's joined by number of rigs in that class from our competition. So we are not hopeful that that's imminently ready to go back to work. We also have three rigs in the shipyard. One is not in the seven, the Columbia which is preparing to go now to Mexico to begin a term project down there for PEMEX part of our initiative, to do rigs out of the U.S. Gulf of Mexico. We have a Crusader Mat rig which is doing some leg repairs right now in Dalespin [ph]. And then we have the Ocean Tower which is contracted on term with Chevron is off contract or we've suspended the contract when we will go into shipyard and do our regular special survey, and that rig return and continue working for Chevron through its projected term in date, which would be April 2008. So that's t really where the markets look today. John Gabriel is joining me, our Senior Vice President, Marketing to answer in more detail questions if we have those. And then I'm would like Gary Krenek follow on with some details of the results that we have during the quarter and give you some guidance, reference to what we see happening in the fourth quarter primarily in terms of rigs being in or out of the shipyard. We had actually less down time in Q3 than we gave guidance for previously on our conference call about 44 days. However a number of those improvements were days that are probably going to slide in, you know they're going to slide into Q4. In general I'll say that we have experienced slowdowns in the shipyards. Some of that is equipment that we find that requires additional maintenance to us. But very often it's just slower to get rigs through the shipyard. We had instance of the Ocean Baroness where we hustled to get that rig, had to suspend the well to get it into the shipyard through it's five-year survey and we had secured a space on the dry dock. And so we had to wait; make that particular dry dock. We got notice that the dry dock capacity has been downgraded due to its condition and we couldn't handle the entire rig. So then we had to spend extra time unloading the chain. We got; when we finished that operation which added time then we get ready to get on the dry dock. And we find that its downgraded further and can't take the weight of our rig at all. So then, rather than being able to dry dock we had to put in a different plant to become able to access our void spaces in the lower posting and all that took additional time. It was not as efficient as having been on the dry dock. So that is just one example of some of the things that we saw in the quarter and we're probably going to give guidance with the expectation that some of those things will occur as we continue with our heavy shipyard operation of rages that are either preparing for contracts or dealing with special surveys. We have relocated a couple of our rigs to Brazil, we've got the New Era that has arrived in Mexico along with the Voyager, the New Era has been excepted and is on contract presently. The Voyager is still feeling with some acceptant testing issues which has added sometime but we'll continue on relocating with those rigs. So I think that's a general overview of what's going on. Let me close out by talking about the dividend announcement that we've made earlier in this week upon approval. We had told people at our last conference call that we had a number of enquiries about whether or not an annual special dividend or a quarterly dividend with the appropriate vehicle, we have spent some time reviewing that as well as reviewing a tax implications of making that change and we've that announcement. I am not going to stray really off announcement as to what factors were in use and setting that as much the sign language that we used, when we were all in the annual dividend basis. Those are the factors and those indeed are the factors that the Board looks at insetting those and we will, the Board will look at that again, in approximate 90 days as we complete our the next quarter. So that concludes my opening remarks. I will let Gary Krenek to give you some more detailed guidance and number explanation.
Gary T. Krenek - Senior Vice President and Chief Financial Officer: Thanks Larry. I'd like to make just a couple of comments on the third quarter results and will then spend the bulk of my time trying to give some guidance as Larry said into what we see happening to our cost in the fourth quarter. With respect to the third quarter, I am not going to reiterate the press release numbers. But I would like to say that the numbers were pretty clean. The only really unusual item that came up was the result of a book to tax return adjustment for 2006 taxes which caused us in the third quarter to report an additional $4.4 million for the tax expense above and beyond our normal tax expense in the third quarter. This adjustment resulted in a $0.03 reduction to our Q3 earnings. So other than that, the numbers were clean. As Larry said, operating expense did increase in the third quarter compared to second, just as we have guided. This was a result of 10 of our rigs spending time in the shipyards way either for their five-year surveys or contract preparation work. Costs were actually little bit lower than what we guided in our last conference call. This is primarily due to the 3 additional rigs Larry mentioned that were expected to spend time in the shipyard in the past quarter but have had their work delayed either in the Q4 this year or into the next year. When you take these 3 rigs into account and make appropriate adjustments to projected cost, our guidance for quarter actually came to within 1.5 to 1% of the actual cost that we are reporting. If any one needs any further details on the third quarter results, I'd happy to provide them during the Q&A session. With respect to expected cost in the fourth quarter, we gave guidance on our last conference call detailing per day cost for rigs by rig type and by geographic location. I am not going to repeat here that this morning, but if any one needs any help or refresher with that, they are more than welcome to give us a call and either myself or Les Van Dyke will be happy to help him after this call. I will add however that we have two new disclosures, that is costs for our mid-water rig working in Trinidad is expected to be in low 70s, and we expect cost of approximately $10,000 a day for the team which is getting two-year plus options charter in Croatia. Now in addition to the normal daily operating costs that you need to take into account, we expect an additional $13 million to $16 million in expense to complete the surveys of the Worker, the Baroness, Crusader team in Columbia which began their survey work in the third quarter and will complete their work in the fourth quarter. The Quest, the Alliance and the Tower are expected to do either surveys in their entirety in the fourth quarter and we expect them to follow the guidance we've been giving all year that is $3 million to $4 million for a jackup and $5 million to $6 million for a floater in addition to the normal daily operating costs these rigs incur. We also have the Victory in the York town that will be down in the fourth quarter that there will become a portion of their surveys in this... in the fourth quarter and then finish up in 2008. Combined, these two rigs will incur $6 million to $8 million of survey-related cost in addition to their daily operating cost. The Concord, New Era and Voyager will spend some time in Q4 in the shipyard before beginning contracts in Brazil and Mexico later in the quarter. These three rigs will incur a combined cost of $5 million to $6 million to do this work again in addition to their normal daily operating cost. And finally, the Vanguard will become down for its intermediate survey in Q4 and incur additional cost of some $3 million. For the details on the timing and duration of the downtime of all these very I will refer you to our most current rigs status report that we've released earlier this morning. In addition to these operating costs we will amortize to expense approximately $3 million of a third mode cost during the quarter. $1 million of that related to Endeavor which moved to Gulf of Mexico earlier this year and the rest being attributable to our number of different rigs. I would remind everyone that these mob costs are going to be offset by amortization of deferred mob revenues. When it's all set and done, if the timing of the shipyard work actually follow our expectation, operating costs for Q4 should either be slightly above or slightly below the third quarter's actual cost. I caution everybody to remember if shipyard timing changes, costs will impacted and you should adjust your projections accordingly either up or down. Any timing changes that occur will be disclosed in our status reports that we publish on a biweekly basis. And finally just a few house keeping items. Depreciation expense should remain consistent into Q4 compared to Q3 which was $58 million. G&A expense we expect to be consistent from the third quarter to the fourth quarter. Interest expense net of capitalized interest should run in $2 million to $3 million range and our tax rate which was just under 28% after the book to tax adjustments recorded this quarter, should remain right around the 28% level into the fourth quarter. And with that, I'll turn it back over to Larry.
Lawrence R. Dickerson - President and Chief Operating Officer: Alright. I think we will be ready to take questions at this point. Question And Answer
Operator: Thank you [operator instructions]. Your first question is from Ageline M. Sedita with Lehman Brothers.
Ageline M. Sedita - Lehman Brothers: Thanks. First glad to see the quarterly special dividends certainly are positive. The question, your thoughts of John on the jackup of market in the Gulf. I know you have only 7 rigs left in that region. But would just expect to see continued idle time here in Q4 and potentially then going into Q1 based on what you are seeing in inquiries and conversations.
Lawrence R. Dickerson - President and Chief Operating Officer: I will let John talk about details. One thing I will say Angie was, I guess it was last year as the jackup market began to deteriorate. It was enunciated I believe throughout the industry, well next quarter into the year whatever and we gave up with points even trying to say when it was going to turn around. We are exiting hurricane seasons, so that's an important point we're coming into first quarter. There was some bid activity in most recent resale on the Shale, although most that was deepwater. But there were some positive... potential positives that overhang in the marker. But having said that, we just had to play as it comes and I will let john talk about what the details or others were seeing out there in the market.
John L. Gabriel - Senior Vice President Contracts and Marketing: Well Angie. I think, like Larry just kind of covered it in the nutshell in the near term, we don't see any dramatic changes. We have seen a slight increase in enquiries and I will attributed that to coming out of hurricane season and to some year end budget money that's being freed up, but its certainly not enough to have a dramatic impact on a market. So I think that we're going to be a looking at softness in this market certainly through the fourth quarter.
Ageline M. Sedita - Lehman Brothers: Okay, that very distinct. And then also I know Larry mentioned at the beginning about the renewals etcetera. Any color on the Ambassador which is coming up this December in Mexico second chance on it?
Lawrence R. Dickerson - President and Chief Operating Officer: We are, I guess in some of discussion with PEMEX as related to a little bit of term associated with finishing a well that would be in progress which will notionally get us end to the first quarter of next year. We are hopeful about at that point is that PEMEX 2008 program and potential additional rig needs would be released and we would have a feel for our opportunities with respect to continuing in Mexico might be. As an alternate, we do have interest here in the UC U.S. Gulf of Mexico again, short-term work but we do have interest in the rig in the event it were to come back to Gulf of Mexico at least in the near term.
Ageline M. Sedita - Lehman Brothers: Okay great. And final question on the Septor believe it's being built down here in the U.S. Any conversations that you are having on the rig. I know its still early '08 before it comes out. But it is going to be somewhat of a difficult contract to sign considering that nothing is mobilized internationally?
Lawrence R. Dickerson - President and Chief Operating Officer: I don't view sector as being problematic at this stage. We have got the rig bid on several opportunities and I think we just have to wait and see what is the outcome of those opportunities are. Mobilizing it outside gulf or Mexico is going to lot of cost associated with it but those opportunities are generally of longer term nature so, when you amortize those mobilization costs so with that longer term, the impact is not as significant.
John L. Gabriel - Senior Vice President Contracts and Marketing: When we ordered those rigs we have the choice of we could take that slot out of Singapore and we said at that time we would assume to be spread out. Certainly the Gulf of Mexico has changed since we made that decision. It's not like little work in the Gulf of Mexico certainly not on term, we'd have to work it short term. But we bided in the West Africa and in various places, Mid Atlantic and Med. So its probably just as close we are not that much further coming out of brands [ph] that would be coming out of Singapore. And there are a good number of rigs coming out of Singapore so I still think we are disadvantaged on our locations.
Ageline M. Sedita - Lehman Brothers: Okay, but you're seeing interest for one to year contracts for that rig?
Lawrence R. Dickerson - President and Chief Operating Officer: Yes, those contracts we are bidding.
Ageline M. Sedita - Lehman Brothers: Okay, great, that's all I have guys. Thank you.
Lawrence R. Dickerson - President and Chief Operating Officer: thank you
Operator: Thank you. Your next question is from Dan Boyd with Goldman Sachs
Daniel Boyd - Goldman Sachs: Hi guys.
Lawrence R. Dickerson - President and Chief Operating Officer: Good morning.
Daniel Boyd - Goldman Sachs: Historically, you've done a previous job of maintaining discipline, upgrading and acquiring rigs in the down cycle. Assuming acquisitions cost stay where they are and newbuild cost say where they are, should we expect you to maintain this discipline, and we wouldn't expect those uses of cash to be on the top of your radar screen?
Gary T. Krenek - Senior Vice President and Chief Financial Officer: We won't roll that out, I mean we are very careful on how we deploy our capital. Instead of assuming everything states the same, there could a possibility where we would acquire some new assets if we were comfortable with the contract we would put already. There we don't think we get the same return on capital that we have on the rest or our fleet, but I can read it out over, its probably -- we haven't rushed to the shipyards in Korea to go order new equipment at these levels but if there was the right opportunity we could.
Daniel Boyd - Goldman Sachs: and would you be opposed to financing that acquisition with debt or would you want to or what would you prefer using cash?
Gary T. Krenek - Senior Vice President and Chief Financial Officer: Well everything would be considered, again we have strong cash flows but we have announced that dividends will play a part in that, and we have virtually no debt announced. So we certainly have the capacity to add it. Again it would depend on the particular circumstances.
Daniel Boyd - Goldman Sachs: Okay. And then one last one. When just looking at down time we think about the survey time for next year. You gave guidance of 50 days percentage and 30 is for jackups. You've also mentioned on prior calls that this shipyard time is becoming secularly longer for some of items you mentioned today. So we think about that 50 days of having all the rigs to the upside or is there also some I guess conservatives factored in there and there is some downside potential as well?
Lawrence R. Dickerson - President and Chief Operating Officer: Days could run longer. I think the opportunities first to cut those days down are for minimal here is the factors. The shipyards are slower in the Gulf of Mexico next to. There's labor issues and we also recognize that these type of day rigs our customers are very concerned about efficiency. So whereas in the market 2 or 3 years ago we might had 3 days at some point during the well to do; do certain things that really after suspend normal growing operation we could get that in the contract. All that type stuff is now being pushed off and has to become done when we get into the shipyards. So there's just very few factors that are going to push us to get those rigs out earlier.
Daniel Boyd - Goldman Sachs: Okay, Thanks. That's all for me.
Operator: Thank you. Your next question is from Arun Jayaram with Credit Suisse.
Arun Jayaram - Credit Suisse: Good morning guys.
Lawrence R. Dickerson - President and Chief Operating Officer: Good morning. Arun.
Arun Jayaram - Credit Suisse: Hey Gary in terms of the Q3 operating costs. Can you give us the sense of how much of the Q3 costs were related to special surveys and shipyard time?
Gary T. Krenek - Senior Vice President and Chief Financial Officer: The analyst are analyzing that we did was comparing Q2 to Q3 and operating costs were up about $58 million and when we look at that about $50 million of that $58 million was due to the shipyard cost. So the vast bulk of that were due to all the rigs or 10 rigs we had in the shipyard.
Arun Jayaram - Credit Suisse: Thanks. That's helpful. But Larry over the last several quarter you mobilize 4 or 5 of your midwater semis out of U.S., Gulf of Mexico to international markets. We obviously had a very strong Gulf of Mexico resale in the deepwater and the midwater, are you seeing any incremental demand yet in the Gulf of Mexico midwater market and could we possibly see move some rigs back to the Gulf?
Lawrence R. Dickerson - President and Chief Operating Officer: Well anything's possible I don't know that there is a resale has immediately translated into incremental demand. We made the decision, not that there is a lack of demand in the Gulf of Mexico but we could get term internationally at rates that were competitive with what we saw here in the US Gulf of Mexico on a short-term basis. So we did that, then most of the rigs went overseas, when overseas for a good amount of term. So they are not available to bring back. We would our expectations are though that we have a large force generation fleet in the Gulf of Mexico and those rigs will pick up the perspective jobs in the midwater, we still have the Seratoga here in the midwater that we are going to work well-to-well for the time being and then John alluded that if Mexico does not keep the investor and certainly right now we don't have any commitments beyond the short term that we would bring that rig potentially back and work for midwater.
Arun Jayaram - Credit Suisse: Thanks. That's fair. John its sounds like you're working on some contract renewals etcetera. Can you just talk about what you are seeing in terms of rates are you seeing flattening rates or continue to increase in rates on renewals your talking about?
John L. Gabriel - Senior Vice President Contracts and Marketing: Well I don't want to really be specific about renewals they we are in discussions about right now. What I can say is I believe that still some upside in these midwater rigs with near term availability. I don't think its going to be as dramatic as we have seen it run up in the last two years but there is some upside in these rigs once we have availability in '08 and they are rolling in late '08 away '09.
Lawrence R. Dickerson - President and Chief Operating Officer: I would say its all set by price for newbuilds. Our opportunities on our existing fleet had continued rate conversions, we see these rates stack up very, very closely to that newbuild rate and if the newbuild rate moves higher because of the additional cost that we are seeing our there or excess demand then there is further opportunities there. But I don't think that the conversions that we have seen in the levels that we have or as high as they can go.
Arun Jayaram - Credit Suisse: One last question Larry I want to press a little bit on the dividend. You'd historically last couple of years have being paying out 80%, 90% of your net incomes through special dividends on annual basis and now you shifted to quarterly. Can it help us put the $1.25 in context because you have earned little less than $5 this year? Is this related to Q3 earnings or earnings to date and just help us put that $1.25 in context.
Lawrence R. Dickerson - President and Chief Operating Officer: Well we have said that the board uses the factors that we had in the press release. We are going to stick with that and really just let people draw their conclusions based upon our actions rather the guidance or raise expectations as to what that exactly would be so. Yes I can't really help you on that.
Arun Jayaram - Credit Suisse: Okay, well thanks a lot.
Operator: Thank you. Your next question is from Waqar Syed with Tristone Capital.
Waqar Syed - Tristone Capital Inc.: Yes, I've question on the ambassador. I think you mentioned that a bit contract in Mexico makes 10 into the first quarter. Would the rates be renewed if that happens or do you continue to work at about 55000?
Lawrence R. Dickerson - President and Chief Operating Officer: We are an open market now that 55000 rate was first set, back into 2004 and is very awful where we see rates, I think without specifically saying there would be... they would have expectations, we have expectations. They are probably going to look at what some of their longer term renewals are and what rates are in the Gulf of Mexico and move... will have to come to the meeting of the minds. But even if we are on the low end it is going to be substantially higher than 55000.
Waqar Syed - Tristone Capital Inc.: Okay, it is in a sense a contract renewal, a new contract even though it may be just a short-term, one vital kind of deal in Mexico?
Lawrence R. Dickerson - President and Chief Operating Officer: It is not to give them option rights they could priced.
Waqar Syed - Tristone Capital Inc.: Okay, that's fair. Could you give some idea on Ocean America that sort of contract is up for the renewal around mid 2008. what kind of opportunities you see for that rig and where could the rates be?
John L. Gabriel - Senior Vice President Contracts and Marketing: We are looking at several opportunities here in the Gulf of Mexico. Conversationally, term lasts anywhere from 1to 2 years. We have also been approached about short-term work for the rig, obviously the longer term work has some appeal. We have also been approached by two different entities about taking the way outside the Gulf of Mexico anywhere from 1to 3 years conversationally. Again I think the rate structure would go on a forward basis with respect to those rigs. Larry has kind of addressed that in it. There is upside there but there is some relative limit to that given where the newbuild range would be priced right now.
Lawrence R. Dickerson - President and Chief Operating Officer: Yes I would ... John covered that well. I think that the choice for us are continue to work in the Gulf of Mexico which would be termed or taking slightly longer term perhaps internationally. Typically there is mob and some capital equipment cost to go internationally on these rigs. Market will give you some recovery but you might have to eat some of that and so those are really kind of things that way look to concentrate the fleet in the Gulf of Mexico versus dispersing it around the world in various other markets.
Waqar Syed - Tristone Capital Inc.: The rates for the fourth gen rigs have been all the way from low 400 to even touching 500. Do you think high 400 is still kind of achievable for this rig?
Lawrence R. Dickerson - President and Chief Operating Officer: I'd like to help you but we can't; one, I don't want to set any expectations and two, we are in negotiations with customers and with products to do that all there publicly.
Waqar Syed - Tristone Capital Inc.: Okay. Secondly on international jackups you have some availability early '08. What do you see prospects for those rigs Sovereign for Heritage?
John L. Gabriel - Senior Vice President Contracts and Marketing: In all three cases we've got opportunities. We see opportunities for the spur both in Egypt, potentially in Libya and potentially in Tunisia. The opportunities relative to the Heritage would be in the Persian Gulf and the Gulf of Suez. And they're all opportunities for the Sovereign in the Southeast Asia. So we expect all three of those rigs to notionally remain in the general geographic areas where they are currently located.
Waqar Syed - Tristone Capital Inc.: Okay. And how about the rate environment; do you should see the rate environment softening there in these markets. With the newbuild coming in do to you think the rates could stay at high levels in you know 140-160 kind of range?
John L. Gabriel - Senior Vice President Contracts and Marketing: I think, each one of these areas is a little bit different. If you type the Gulf of Suez historically its been a little bit under in general terms than you would see in the Mediterranean, or I'll say in the far East. But if you want to characterize these rates... if your talking about newbuilds in the 140-160 range, there might become some modest discount for an existing rigorous, but it's a function of capability as well. We're confident that we'll become able to put these rigs to work and keep them working and we don't see any significant deterioration in the rates structure as yet.
Waqar Syed - Tristone Capital Inc.: I was thinking about 140-160 for your rigs. May be for newbuilds in the 180 plus kind of range. Do you think that's rate structure holds?
John L. Gabriel - Senior Vice President Contracts and Marketing: I'm not going to let you figure on future rates.
Waqar Syed - Tristone Capital Inc.: Okay, and one last question for Larry, you've mentioned that you use, you still, you remain interested in the acquisitions of new assets. You have preference for jackups versus floaters or at this point you'll take anything that becomes available?
Lawrence R. Dickerson - President and Chief Operating Officer: I would never say, we are going to take anything that becomes available. We, going to look for where we see value in the acquisition chain, this is a floater company, that's what we've been for a long time, we did add jackups to here. I would expect if there just many more un-contracted jackups versus the floaters, so I would suspect to be more availability on the jack-up side but I can't tell you necessarily that we would be tempted on that uptick in market to own which rig and what the contract prospects are for that rig?
Waqar Syed - Tristone Capital Inc.: Okay great, thank you very much
Operator: Thank you, your next question is from Pierre Conner with Capital One Southcoast.
Pierre Conner - Capital One Southcoast, Inc.: Good morning everybody.
Lawrence R. Dickerson - President and Chief Operating Officer: Good morning
Pierre Conner - Capital One Southcoast, Inc.: Back to the Gulf of Mexico and I understand it's some of the biggest driver but may be have some near-term data points coming, so my interest. Strategy wise, so you have 7 currently, may be John can you tell us how many of those are you sort of actively bidding outside of the Gulf, how many would you think over the next year you might move out? Can you give us some perspective on that Larry and John?
John L. Gabriel - Senior Vice President Contracts and Marketing: I can tell you right of the rigs that are here that we probably have three or four of them currently bid outside of the Gulf right now and I am including the Septor in that total. So that will probably be 8.
Pierre Conner - Capital One Southcoast, Inc.: Including the Septor and then... so those, well except that sector may those would be... opportunities with come up within the next six months or so?
Lawrence R. Dickerson - President and Chief Operating Officer: Right the math of rigs is not likely the Gulf of Mexico, but the other would be.
Pierre Conner - Capital One Southcoast, Inc.: Okay. Related to that you have the rigs been down now I think three weeks, so what can you see in the context of some other companies deciding to go one stack or potentially even now granted submersible rigorous in the different capabilities. As they became a balance point between opportunity of the people, things of that nature. Are there opportunity costs where you would elect to one stack effectively taken off the active market list?
John L. Gabriel - Senior Vice President Contracts and Marketing: Sure there is a point I don't know it has immediately here. When you look at the number of rigs that are stacked the key drivers is going to be the overall number of ways have stacked. Its unreasonable for us to believe that we are going to be materially above that average or we are going to duck having to have a rig idle. As long as believe that there is a chance to put it to work out profitable rate in the near term and we believe that we are not going to demand it and not operate it. In addition we are likely to with just the sheer number of opportunities that we see have at least a rig go overseas, so that also helps to bring it into balance. So I think those are more than near term actions we would see than and a move on our part to go and stack a rig.
Pierre Conner - Capital One Southcoast, Inc.: Thanks. That perspective helps, I appreciate it. Switching gears into the yard time, so may have my math and maybe you can correct me on some of this, but you have had an increase in the expectation of the yard time in 4Q. Of that some 40 days plus I think I calculate as you mentioned really slipped from 3Q to 4Q. But there is still maybe the number is around a 100 incremental and that was seen, if you could give me a breakdown of as you said some of these things were taken longer because of the yard in. And then there's some outage that now has cropped up during the quarter of... previously not identified yard time. Is there a breakdown of how much has been more shipyard delays?
Lawrence R. Dickerson - President and Chief Operating Officer: Well we released the most current than we have right now. Part of it was shipyard delays, part of it we often include in the downtime is move time down the Mexico for the Voyager and the New Era we had some delays on the Voyager particularly waiting on weather, approximately 100 to 120 days were just shipyards taking longer, the Baroness took quite a bit of that.
John L. Gabriel - Senior Vice President Contracts and Marketing: I'd point out we had some hurricane or threatened hurricane activity with the number of rigs that we have in ship yard probably 35 days at least. So that not blaming it totally on the shipyard we have got a rig going forward. The Champion that we are working on, leg repairs that was an unanticipated problem with the rig. So it's a variety of issues and I would probably blame shipyards more that's probably the leading cause. But there's certainly of wide varieties.
Pierre Conner - Capital One Southcoast, Inc.: That is the color I was looking for to, a majority of this is shipyard issues of the delay issues extra. I was trying to get a handle to identify how much should we think about when we get an expectation for yard time for '08. How much support safety factors should we put on it that's what I was trying to get a handle on?
John L. Gabriel - Senior Vice President Contracts and Marketing: The 13 and 15 from the jackups and the semi-submersibles were still reasonable we will be fifty some of them. We want on some of the others. We are in the middle of our budget process right now and we'll get a little bit better idea of what all work we need to do on those rigs during that budget process and we'll give you some better numbers, some better guidance on the next quarterly conference call after we've completed that budget.
Pierre Conner - Capital One Southcoast, Inc.: Thanks gentlemen.
Lawrence R. Dickerson - President and Chief Operating Officer: Thanks.
Operator: Thank you. Your next question is from Jud Bailey with Jefferies & Co.
Judson Bailey - Jefferies & Co.: Thank you. Good morning. First a question on the free status reports. Can you correct me if I'm wrong here but under the Ocean Baroness its showing under the comment section that's available on active remarketing. It doesn't mention that Amro to Hess contract. Is that a mistake or did I miss an announcement somewhere?
Lawrence R. Dickerson - President and Chief Operating Officer: we're still working for Amro and Hess. I believe we have a year and a half to go for that contract. I think every rig says available active remarketing at the end of that time frame; at the end of the contract time frame. So they're checking to...
John L. Gabriel - Senior Vice President Contracts and Marketing: it's a little bit misleading. We as Larry said still under the Hess contract. Under operator it says DODI simply because as of this morning or as of yesterday, when we prepared this, we were not on day rate with Hess, we expected a lot, today is our best estimate. And so..
Lawrence R. Dickerson - President and Chief Operating Officer: Its going to become couple of more days yet.
John L. Gabriel - Senior Vice President Contracts and Marketing: Okay. Couple more days now. That was; so yes the status report is a little misleading. We're still with Hess
Judson Bailey - Jefferies & Co.: Okay. Question on cost of rig construction or upgrades; if you were have to redo the or do the Monarch upgrade today; what ballpark do you think that would cost you if you were to try to contract a yard to do that same upgrade today?
John L. Gabriel - Senior Vice President Contracts and Marketing: I don't have that figure but it was certainly become up because yards are charging more, NOVs charging more for its items, wide variety of things. We said that we do that for $300 million. Probably our final number at this point in time will be close to that but on a little bit higher. I'll just be guessing but kind or order 20% plus to this a same one.
Judson Bailey - Jefferies & Co.: Okay, all right, that's all I've got. Thank you
Operator: thank you, your next question is from Alan Laws with Merrill Lynch.
Alan Laws - Merrill Lynch: Good morning. I have just a couple of clarification kind of question, first was on the down time, someone asked about the assumptions that you using for shipyard times. I think that was 50 days for the floating rigs and 30 days for the jackups. You did said this was trending higher, should we use 2007 experience to sort of a guide to trend tire, I guess there's reason why 2008, would be better right?
Lawrence R. Dickerson - President and Chief Operating Officer: That's all, that's all you have to deal with really is 2007.
Alan Laws - Merrill Lynch: I see, so you start at the year in some sub 1000 and you made it up to about 1800 down days, are you sort of expecting the same thing for '08?
Lawrence R. Dickerson - President and Chief Operating Officer: we need to look at the individual rigs that we are going to have a down and we have released the schedule surveys for 2008 on that rigs status report, there are some 12 rigs on there that we are going to do in '08 into and two of them that we have to complete and so you can't just look at pure days, you got to compare the type of rigs and compute it from there
Alan Laws - Merrill Lynch: Sure, you have almost 13 sorry 12, 11 of the 12 are floating rigs, correct?
John L. Gabriel - Senior Vice President Contracts and Marketing: Yes, I believe that's correct
Alan Laws - Merrill Lynch: okay and then, if you were to look it those floating rigs versus last year's floating and these ones in anywhere shaped than this year's going into the survey?
John L. Gabriel - Senior Vice President Contracts and Marketing: No we don't believe, so it's going be, we are planning those surveys. They have some preliminary planning going on and really it be after the budget process is completed early December that we will make adjustments for the rig status report if we need big changes from that. We are on the remaining while questions, I feel like we really need to clear it out because there are large number of other conference call by 10'o clock. So I could ask the remaining question as we get to guys to roll all your questions into one blip so we can now give everybody chance to ask their question.
Alan Laws - Merrill Lynch: Alright ask one more and I have follow up to again on Gulf of Mexico; little concerned here I think you have given your cash costs in the Gulf of Mexico jackups in the mid sort of 30,000 per day level. Given the softness in the Gulf and there's lots one stack units I think the number is 17 or so and additional rigs and lots of extra rigs coming into the overall global market limiting relocation potential; what would keep the rates here from heading to cash breakeven level over the next year if the demand stays at these levels today I think were down by 40% already.
Lawrence R. Dickerson - President and Chief Operating Officer: In the past we have seen that in this particular market, the markets being weakening and we have not seen rates decline to that level. I think the safety valve for rigs being able to go out has been a factor this time. I think certainly many map rigs are owned by just a few players. I think there is some more pricing discipline than we have seen before. I think in the past again cash break I am not saying I can't go to cash break even today but those are always a factor I would remind everybody of course that we are a floater company that within our jackup fleet which is a third of our fleet is only 10% of our earnings and our Gulf of Mexico exposure is 7 rigs on a go-forward basis so it will be a de minimus. I will be glad to give you the data points though.
Alan Laws - Merrill Lynch: All right, I appreciate the answer. Again thanks, I congratulate you on the quarterly dividends.
Operator: Thank you, your next question is from Robin Shoemaker with Bear Sterns.
Robin Shoemaker - Bear Stearns: Thank you. Sort of on the same line of the questioning. It seems like rate level of 60, 000 a day is kind of what where we are and maybe that's a line in the sand and I am not but I am not talking about of course Gulf of Mexico jackups. And so the issue is, we have seen a handful of announcements of cold stacking of some very low end rigs in the Gulf of Mexico. In your opinion does that help prevent us going below this threshold, and as a secondary part, two-part question, do you see the PEMEX negotiations continue to be heavily influenced by this as your rate for the Colombia I guess looks like a very good rate compared with what you might get today. But perhaps I am wrong on that, that market really does have different dynamic although some influence from the US Gulf. That's my only question but its 2 parts?
John L. Gabriel - Senior Vice President Contracts and Marketing: All right. I appreciate you rolling them all, all in one. I don't think there is any particular great line in the sand. If we have more than our 7 rigs which is a small portion of our large issue then cold stacking might be a factor. So really those questions are best directed towards the people who have large fleets in the Gulf of Mexico Hercules those companies and if I can regale so you can Insco. And so far Mexico rates yes, it's influenced a see these rates, you know what? It's a different market you got, different cost you got a lot to bring a new rig into Mexico you got to spend a lot of money putting on PEMEX required equipment. And so that probably accounts for some of the rate differential as well.
Robin Shoemaker - Bear Stearns: Thank you.
Operator: Your next question is from David Smith with JP Morgan.
David Smith - JP Morgan: Higood morning. May be its too early to ask this question but thinking out longer terms, wondering any concern you might have about the level of demand for midwater fleet either in your absolute rigs or just the sense of operator urgency as the 65 plus salt or deepwater rigs under construction started to join the fleet in '09 and 2010.
John L. Gabriel - Senior Vice President Contracts and Marketing: I would say now frankly because the deepwater fleet that's arriving is contracted by and large and no ones building more net water fleet. And when you look at the big difference internationally there's so many new territories opening up where 2-3 thousand feet of water has not been drilled over and there's some big prospects in there. And so the deepwater fleet is heading offshore. We think that if there continues to become the level of success there is not actually adequate deepwater rigs to float drill exploration and do development drilling. So it's not something that we see is far out as we can see that's going to give us competition in the mid-water.
David Smith - JP Morgan: Okay. Thank you.
Operator: Thank you. Your next question is Elliot Blazer with Topaz Farm [ph].
Unidentified Analyst: Yes. Gentlemen. Could you give us a figure for long-term contract backlog overall? I don't believe you provided one since the end of march when it was around $7.4 billion going up to 2010.
Gary T. Krenek - Senior Vice President and Chief Financial Officer: as of right now as for third switch that is supported stands right at $8.5 billion with and that represent some 81years worth of rig time.
Unidentified Analyst: $8.5 billion. Can you break that down over the period 2007,'08, '09 '10. how much of the $8.5 billion is in that 4 year period?
Gary T. Krenek - Senior Vice President and Chief Financial Officer: I don't have any information here with me at this time.
Unidentified Analyst: Okay Thanks a lot.
Lawrence R. Dickerson - President and Chief Operating Officer: : I think we have one more question.
Operator: Your final question is from Geoffrey Kieburtz with Citi.
Geoffrey Kieburtz - Citigroup: Good morning. I will try to roll my questions into one. Earlier there's comment in regard the midwater fleet. I think you said obviously we will prefer term. So I wanted to ask you to explain that comment in a context of does that suggest that you see some risk over the with a next couple of years the rates might come down. Related to that you mentioned that there would be cost will have to be borne by the contractor, if you were to move the rig and is that a change in the market dynamic versus say a year ago. The third part of this question is NOV suggested they thought there would be a new jackup order for every one delivered over the next 12 to 18 months. If that were in fact to be true, how do you think it would affect the international jackup rates?
Lawrence R. Dickerson - President and Chief Operating Officer: [Multiple Speakers] I understand. Your question on term versus spot working.
Geoffrey Kieburtz - Citigroup: Yes does that suggest here ever concerned about where rates might go over the next.
Lawrence R. Dickerson - President and Chief Operating Officer: but this is a meaningful premium for the spot market. There are just so many more advantages to term. We can do better job. We know what we were doing for customers. The safety issues, if you are not giving up much per term that is certainly availability and the having rigs contracted per term allows rates to move more rapidly than if this was a spot market, both companies are spot market and new rate move up and down very dramatically and given all of our capital commitment we got to have the on the term, and the ability to pay from mob, I would say that market is probably out of point and it pays for more mob than it was an ordinarily would. However if the mob is a long way then you are trying to make sure that you are under full day rate you got all those cost by for and if you got your modification cost that you may have to have was in contract all paid for and in all depends to give all three of those paid for in large, and no you may not always get that I know we were looking at one if taking some fourth generation capacity out of Gulf of Mexico. About as far as you can go, given that the globe is round, when you added up all those factors we did not believe, we believe that to make that relocation we would have to eat some cost so that's we have made a final decision on that. But there is a case where spot versus term we may pick the more profitable opportunity.
Geoffrey Kieburtz - Citigroup: But the key there is that's not a change.
Gary T. Krenek - Senior Vice President and Chief Financial Officer: It is not a new dynamic and it's... the element maybe I misunderstood the question, but I think the element was... it much focused on compliance cost with requirement of the customers. It was mobilization and that's, not a dynamic either
Geoffrey Kieburtz - Citigroup: Okay,
John L. Gabriel - Senior Vice President Contracts and Marketing: And there are NOVs projection of jackup mob than they just got so much more than I do and they have salesman in the field and they must back as they are talking to all kind of --
Geoffrey Kieburtz - Citigroup: Oh, no I wasn't asking you to verify that projection; I was asking if that were to be true how you think that might affect the jackups rate environment
John L. Gabriel - Senior Vice President Contracts and Marketing: Look I mean if that if we continue to just build and build then we will finally choke and it will be like a real estate market or something. I don't think that we are at that level right now and I don't... I think orders are going to slowdown that is my personal opinion.
Geoffrey Kieburtz - Citigroup: Okay, Thanks very much.
Operator: : Thank you, I would like to end for about to the speaker for any additional comments.
Lawrence R. Dickerson - President and Chief Operating Officer: We appreciate everybody that attending and will see next time I will spend, I know we get lots of jackup questions but that's where there's market dynamics. But, I am going to close one more time by saying this is a floater fleet, two-thirds of our fleet are floater and 90% of our income comes from floater market. Thank you.